Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Dundee Precious Metals Second Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised, that the call will be recorded. [Operator Instructions] I would like to hand the call over to Jennifer Cameron. Please go ahead.
Jennifer Cameron: Thank you and good morning. I’m Jennifer Cameron, Director of Investor Relations, and I’d like to welcome you to Dundee Precious Metals second quarter conference call. With me today are David Rae, President and CEO; and Hume Kyle, Chief Financial Officer. After the close of business yesterday, we announced our second quarter results and we hope you’ve had an opportunity to review our material. All forward-looking information provided during this call is subject to the forward-looking qualification, which is detailed in our news release and incorporated in full for purposes of the today’s call. Certain financial measures referred to during this call are not measures recognized under IFRS and are referred to as non-GAAP measures. These measures have no standardized meaning under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management’s reasonable judgment and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP Financial Measures section of our most recent MD&A for reconciliation of these non-GAAP measures. Please note that unless otherwise stated, operational and financial information communicated during this call have generally been rounded, and any references to 2020 pertain to the comparable period in 2019. I’ll now turn the call over to David Rae.
David Rae: Good morning and thank you, all for joining us today. As you've seen from our news release circulated last night, we delivered another exceptional quarter, achieving multiple records for operating and financial performance. The strong results we have achieved in the first half of the year is a reflection of the outstanding efforts by all our sites to proactively respond to the challenges of the COVID-19 pandemic, as we continue to prioritize the health and safety of our workforce and provide support in our local communities in Bulgaria, Namibia and Serbia. Most recently this has included upgrades to Tsumeb District Hospital in Namibia where our contributions provided a new decontamination facility, COVID-19 screening rooms, upgraded reception and testing area, a refurbish ward, accommodations for healthcare workers and other medical equipment and PPE. We’ve also donated to organizations in Canada and supported the COVID relief effort. We are continuing to take proactive measures to closely monitor the situation and given our financial and operating strengths, we’re well-positioned to manage these challenges. Looking at highlights of our second quarter, these include excellent operating performance at all our operations, which resulted in a production of 81,000 ounces of gold and 9.4 million pounds of copper. With strong performance at the smelter, while accommodating a 30-day staffing and throughput reduction due to COVID-19 and the request of the local authorities. And we had a strong cost performance resulting in an all in sustaining cost for the quarter at $729 per ounce. Our strong operational performance combined with higher gold prices generated strong financial results which included record net earnings adjusted EBITDA and a record $58 million of free cash flow for the quarter. It's also important to highlight, as Hume will also note that this free cash flow number was after delivery on our prepaid gold facility of approximately 7,000 ounces in the quarter. After delivering a very strong first half of the year, I'm pleased to say that we're tracking towards the high end of our annual guidance for production, and remain on track to meet all other guidance metrics, which Hume will review following my remarks. Turning to Ada Tepe, Ada Tepe continues to deliver impressive performance, and after achieving its targeted production rate within its first full quarter of operation last year. Ada Tepe has steadily increased its gold production in each quarter. In Q2, gold production increased to a new record of 32,300 ounces exceeding planned levels as a result of a combination of strong gold rates and higher volume of ore treated. The cash costs of $44 per tonne of ore processed, cost performance was also significantly better than anticipated for a reason again which Hume will discuss shortly. The mine and mill continue to perform at planned levels and to meet or exceed our expectations. With this strong start to the year, Ada Tepe continues to be on track to meet its 2020 guidance, with gold production increasing significantly over 2019 levels, as our newest mine contributed its first full year of production and the cash flow generation to our portfolio. We’re also continuing with our exploration efforts around Ada Tepe, with field activities and drilling continuing at the newer mine prospects. We have approximately 5,000 meters of drilling planned at Surnak and two other satellite deposits during the second half of the year. Turning to Chelopech, it continued its track record of consistent performance producing over 49,000 ounces of gold and 9.4 million pounds of copper. Gold production was higher than expected due to optimization of the mining sequence which resulted in higher gold rates to the mill and gold rates in pyrite concentrate. Copper production was as expected. Cash cost of $37 per tonne of ore processed were also in line with our expectations. So overall Chelopech is on track to meet its 2020 guidance and continues its excellent performance. In terms of exploration, we continue to focus on extending mine life through our in-mine and Brownfields exploration programs. In our second quarter, we drilled 11,000 meters on resource development drill with the aim of better defining the shape and volume of existing ore bodies and to explore for new mineralization along model trends. In terms of Brownfield activities, diamond drilling from surface continued through the second quarter of 2020 targeting the Wedge South target and Krasta with over 4,000 meters completed on 11 holes. A new target was identified in addition at West Shaft which is located approximately 1 kilometer Southwest of Chelopech mine and we’re drilling to test this zone and that commenced in late June. In terms of Tsumeb, it delivered a strong performance during the quarter, while also managing certain unique challenges within our group related to COVID-19. As we previously announced, we reduced operations in Tsumeb for a period of 30 days during the second quarter as we shutdown ancillary plants and reduced the number of people at the site in direct response to the government's request to reduce staffing levels. Full operations; however, resumed in early May and we continue to manage the number of employees and contractors working outside along with the control practices that we've established at all of our sites. The operating team managed these challenges well and well complex concentrate smelted for the second quarter was reduced by approximately 10%. Our performance remains strong with the smelter processing of over 58,000 tonnes at a cash cost of $345 per tonne. As a result of its strong performance and good management to the challenges caused by COVID. Tsumeb remains on track to deliver its 2020 guidance. And overall as you can see, from the exceptional second quarter results 2020 is on track to be another milestone year for DPM as we are now starting to demonstrate the significant potential of our portfolio. In terms of future growth, while Timok project in Serbia is advancing well with a potential growth opportunity, following encouraging results from the optimization work completed last year to incorporate the sulphide portion of the resource. We initiated a pre-feasibility study which is progressing well and is expected to be completed by the end of 2020. We also to continue to evaluate additional opportunities to support growth and that have the potential to generate strong returns and enhance the value of the company. Overall, DPM has never been in a strong position with our strong second quarter results. We've demonstrated that significant free cash flow generation is underway and that we are committed to deploying the capital in a disciplined manner. Earlier this year, we were pleased to announce an inaugural dividend of $0.02 per share, at quarterly level we believe to be sustainable based on our free cash flow outlook and yesterday announced the third quarter dividend payable on October the 15. This is a signal of our commitment to delivering superior returns to shareholders and a disciplined approach to capital allocation as well as our confidence that we will continue to deliver strong results in the coming years. Before I wrap up, I'd like to acknowledge all of our dedicated employees across the company for their outstanding efforts to proactively respond to the challenges of the COVID-19 pandemic while also maintaining the continuity of our operation. With continued volatility in global markets, we expect strong fundamentals for gold to continue and DPM is well-positioned to benefit in this environment and to withstand any potential impacts arising from COVID-19. We firmly believe that DPM’s strong fundamentals continue to represent a compelling value opportunity for investors. So, I’ll now turn the call over to Hume for a review of our financial results and comments on our 2020 guidance, following which we’ll open the call to questions.
Hume Kyle: Thanks very much, Dave. Good morning, everybody. As Dave noted, Q2 was an exceptional quarter for DPM with continued strong operational performance from all of our operations and higher gold prices that generated record results including record net earnings and record cash flow. For the quarter, adjusted net earnings of $46 million or $0.25 per share, representing an increase of $0.16 per share compared to 2019 and adjusted EBITDA of $79 million up $45 million compared to 2019. Adjusted net earnings for the six months were $92 million or $0.51 per share representing an increase of $0.43 compared to 2019 and adjusted EBITDA was $156 million up a $105 million compared to 2019. Relative to these prior period results, the results certainly benefited from higher volumes of gold primarily reflecting the startup effect of Ada Tepe and continued strong performance from our flagship Chelopech mine as well as higher gold prices and a stronger dollar. And with the strong share price performance that we experienced year-to-date and particularly in the quarter, we did book some significant mark-to-market costs that partially offset these favorable benefits that I just referred to. From a cash flow perspective, cash flow from operating activities in the quarter and year-to-date was $76 million and $85 million respectively compared with $9 million and $24 million in 2019 reflecting the same factors that increase earnings as well as changes in working capital due primarily to timing of customer receipts, higher gold prices and higher deliveries. Funds from operations which is before working capital were $67 million and $124 million in Q2 and year-to-date, compared with $30 million and $45 million in 2019. This performance translated into a record free cash flow of $58 million and $108 million in the quarter and year-to-date respectively, compared to $24 million and $34 million in 2019 and reflects the delivery of7,000 ounces and 20,000 ounces of gold in the quarter and year-to-date in respect to the prepaid forward gold sales arrangement, which resulted in approximately $10 million and $27 million of deferred revenue being recognized in earnings with no corresponding contribution to cash flow. Over the balance of the year, we expect to deliver the remaining 14,000 ounces that are due under this arrangement. Turning to our consolidated cost measures, our all-in sustaining costs for the quarter was $729, up 3% from 2019 due primarily to lower product byproduct, credits and higher share-based compensation due to the increase in DPM share price partially offset by the impact of low cost gold from Ada Tepe. Year-to-date, all-in sustaining cost was $662, down 13% from 2019 reflecting primarily the low cost gold production from Ada Tepe. At Tsumeb, Q2 and year-to-date cost per tonne was $345 and $352 respectively, down 8% and 5% period-over-period due primarily to a weaker ZAR, which is partially offset by lower asset prices and in Q2 by lower volumes and concentrates smelted as a result of regional measures that were undertaken by the Namibian government in order to reduce the risks related to COVID-19 in a natural resource sector. From a capital expenditure standpoint, sustaining capital expenditures in Q2 and year-to-date were $11 million and $18 million respectively, up $6 million and $10 million from 2019, reflecting the investment we're making to extend the life of Chelopech’s tailings management facility as well as the additional expenditures that are emanating from the start-up of Ada Tepe. Growth capital for Q2 and year-to-date were a $1 million and $4 million respectively, down $14 million and $29 million period-over-period simply relating to the completion of the Ada Tepe mine. With these results, our financial position strengthened during the quarter with available cash resources now at $226 million, comprising $76 million of cash and $150 million of undrawn revolving credit facility. We also have a liquid portfolio, which provides additional potential upside. This is comprised primarily of a 9.4% interest in Sabina and a 19.4% interest in INV with an excess market value of $55 million. From a risk management perspective, all of our key metrics and underlying financial exposures are well within established tolerance levels during the quarter. There is no changes made in our balance of year 2021 hedge positions that we established to reduce Tsumeb’s operating costs exposure to foreign currency movements. So for 2020 and 2021 approximately 79% and 55% of Tsumeb’s projected operating costs have been hedged using zero cost callers and detailed information can be seen in the MD&A. We are also continuing to closely monitor and assess the potential impact of COVID-19 on the business and wherever appropriate are deploying additional resources and measures to ensure that we protect our employees and continued operation of our facilities. And of course while we cannot guarantee that we will continue to be successful in mitigating these impacts, we do remain diligent and have the necessary financial resources to deal with any potential impacts coming from this pandemic. Looking forward we continue to focus on increasing the profitability of our business by optimizing our existing assets and we are on track to meet or beat previously issued 2020 guidance. In particular our two mines combined ore production is expected to be between 257 and 299 ounces of gold with copper production between 35 million and 40 million pounds of copper with gold expect it to be at the higher end of their range, reflecting the strong operating performance that we’re seeing for both operations, which are expected to deliver all-in sustaining cost in the range of $700 to $780 per ounce. Should foreign exchange rates and copper prices remain at current levels over the balance of the year, we would actually expect 2020 costs to be at or below the lower low end of our guidance. As Dave mentioned earlier, Ada Tepe or at Ada Tepe we did lower our 2020 cash cost per tonne guidance from $50 to $60 per tonne to $44 to $50 per tonne reflecting approximately a 15% improvement that we see in the cost of the business. Tsumeb complex concentrates throughput is expected to be between 230,000 and 265,000 tons for the year. The cash cost expected to come in at the lower end of the range of $370 to $450 per tonne. Our longer-term outlook covering 2021 and 2022 remains unchanged from what we issued in February 2020, and it can be found on the outlook section of our MD&A. With a significant free cash flow, that's being generated by the business as demonstrated by our Q2 results, we’re in great shape financially to optimize and grow the business, which we’ve remain committed to doing so in a disciplined manner consistent with our capital allocation framework, and expect it to continue to grow our cash position to support prudent investments and in high-return growth opportunities and to return a portion of the our free cash flow generation to our shareholders by way of a regular quarterly dividend, the most recent of which was announced yesterday. Finally, we are pleased to see the market is recognizing our efforts as our share price has continued to perform well both in absolute terms and relative terms to our peers. And when you consider the strength of our operations, our three-year outlook and our potential to generate significant free cash flow, we continue to believe that DPM represents an attractive investment opportunity for gold investors. So, with that I'll turn the call back over to the operator.
Operator: [Operator Instructions] Our first question comes from Cosmos Chiu of CIBC. Your line is open.
Cosmos Chiu: Hi, thanks, David and Hume, and first off, congratulations on a very strong Q2. Maybe my first question is on Ada Tepe, you know again very strong Q2 here. Your grade was very high at 5.34 gram per tonne in the quarter. Could you maybe talk a bit about the sustainability of that head grade? I remember when I was onsite last year, almost a year now, over a year. You know you had put together some stockpiles, some highest grade stockpiles, mid-grade, low grade, how are those stockpiles looking? And how that kind of fits into your near-term grade profile?
David Rae: Hi, Cosmos Chiu thanks.
Cosmos Chiu: Hi, David.
David Rae: It’s not a consequence of what is going on with the stockpiles. So, what happened was that the in-situ grade was a little higher than we have anticipated this has been a bias as you know, it's been an ongoing path to the positive which of course is very nice problem to have. We have a similar bias at Chelopech of around 3%, but less significant than it was in this quarter. So, looking forward, we would not anticipate that would be the grade consistently going forward and in fact, being such a small deposit we don't have a lot of flexibility in terms of the sequence of activities. You know here we've got to be very careful about what we bring out in terms of waste, just as important as what we're bringing out in terms of ore, in terms of building the IMWF and so on. So in this particular case, combination of two things. One, the grade was higher in-situ than we anticipated, which was like you said, nice from that. And it has actually come down a little after that. So, it's more towards what we would typically expect. So, I think this was a higher quarter than anticipated. Like I said it is, a slightly consistent bias high and I don't believe it's got anything to do with stockpiles movements in this particular case.
Cosmos Chiu: For sure, and David on that, so it sounds like it is a positive grade reconciliation. Do you have a handle on it yet? Is it - and would that positive grade reconciliation be reflected in any way later on through a reserve resource update? And how would that potentially change your mine plan?
David Rae: Yes so, we are as busy I think as you know Cosmos - on upgrading the reserves and resources for Chelopech. And what we anticipate is that will have a resource confirmation towards the end of this coming - this quarter. And a technical report early in the fourth quarter and within that will be the latest information, which has includes a very large amount of grade control drilling and obviously, a latest assessments of some conversion of resources as well. So you can anticipate seeing that, this will be updated statement in terms of the in-situ grade reconciliations and also the projected ounces as part of the reserve going forward.
Cosmos Chiu: So David, as you mentioned - yes, that’s for Chelopech, how about for Ada Tepe?
David Rae: No, that is Ada Tepe.
Cosmos Chiu: That is Ada Tepe, okay. And then as you mentioned, the IMWF, there were - I don't want to say issues, but there were some hiccups last year in terms of building it out. Could you give us a quick update on it? How is it - any issues now in terms of settlement? Are you back on track and how does it look for the remainder or - what kind of capacity do you have right now?
David Rae: Yes, so it’s not a constraint, at the moment as you’ll see in a quarter where we demonstrated the slight no downturn, we still produced it basically the design capacity of the facility for the quarter without that moving on. So, we’re not having any constraint at all, its consequence of the IMWF nor do we project any at the moment. I think if you recall you were at site and you saw the true value. And of course, what happened is as you progress with the IMWF, the constraints in terms of surface area reduced thus far, and the risk initially in the operation was high it’s right at the point of this first start up. And we managed through that, and we’ve come through a full set of seasons as well as well. So we've been through winter, summer, high rainfalls, low rainfall. So we’re now fully familiar with all the different operating parameters of this facility. So at this point, what I see is risk reducing not increasing and it is not a current constraint.
Cosmos Chiu: Perfect. And then, maybe just on - quickly on the recovery, I see that the recovery is fairly stable at Ada Tepe 83.9%. If I remember correctly, the target was to get up to 85%. So, I guess, my question is, you’re fairly happy with where recovery levels are. From what you know so far, could you actually get beyond the 85% or is 85% what you're still targeting at this point in time?
David Rae: We’re still targeting 85%, just on 84% is a little lower than where we believe the opportunity is. So we actually have some additional tools that are coming in to give us additional information on which we can get more continuous monitoring and control. We got a piece of equipment coming in, it just been delayed by COVID. So, that was anticipated again by the middle of the year. It’s actually at 5. And this will give us an online analysis of what’s going on in the floatation, so we get something that’s actually fairly unique. This piece of equipment is not commonly available used - not used widely and will be implementing. And it will give us information on what our actual losses are. At the moment, you have to wait for the assay results, and then, make some decisions on the multiple to control what we anticipate will be the recovery that’s not an ideal control. So, we do anticipate there are opportunities. And at this point, we're still targeting 85%.
Cosmos Chiu: For sure. And maybe, just one question here, I assume that switching gears a little bit, as you talked about, David, there was a 30-day curtailment period as a response to COVID-19 pandemic. During that period, were you able to do kind of any maintenance work, routine maintenance work? Did you need to do any kind of routine maintenance work? And on that as well, could you remind us in terms of the maintenance cycle? I think previously, you had extended it from 12 months to 18 months. When's the next sort of big shutdown coming up?
David Rae: Yes, thanks for raising that actually, something that I didn't mention, but you might see some of the images around the work that we were doing. So, we have maintenance cycle activity, a significant thing that all of us have actually. So, we have to rebuild two of the converters. This would typically be done by bringing in people from South Africa to do that work. It's a very significant job and it requires a level of expertise, which we don't typically expect to have any direct support in the mid-year. But in this case, we couldn't really bring people in from South Africa. So, what we did - we used some of the digital tools that we have. So, we have people working with cameras and using iPads and having conversations about quality and how to make certain adjustments and things like that. And that was very successful. So, we've actually rebuilt two converters during the quarter, so the production included that. The Ausmelt so just to touch on that then I’ll come to the mines, the Ausmelt is around nine months into its operating cycle. Now we anticipate that we will be doing the rebuild, we’re planning for the rebuild at some point in the first quarter of next year. So that's making preparations so that we're ready for any eventuality. So at this point, the Ausmelt is trending well in terms of its refractory consumption. And then you didn't ask about the mines, but I thought I might throw it in. We actually as I mentioned earlier, did the reline on both segments during the quarter, and actually what happened was our own teams did those because they couldn't rely on outside third parties and we were keeping people away from the site, to control what might happen with COVID. So the coordination team using all levels of people in the organization including one of our operations directors, that did those relapse. And they happened on time, on budget and safely, so we're extremely happy with the performance of our teams on dealing with those types of significant items where we'd normally rely on bringing in third parties.
Cosmos Chiu: Perfect that sounds great. Thanks, David and Hume and congrats once again on a very strong Q2. Have a good long weekend and stay safe.
David Rae: Thanks, Cosmos.
Hume Kyle: Thanks, Cosmos.
Operator: Our next question comes from Ingrid Rico of Stifel GMP. Your line is open.
Ingrid Rico: Great. Thanks. Good morning, David and Hume, and the rest of the team. Congrats on that another strong quarter. My question is at Chelopech. You had indicated that the higher gold grades were a reflection of an optimized mining sequencing. So I'm wondering if you can comment a bit more on that and whether this is a result of underground exploration success. And how should we think about that great profile for the remainder of the year?
David Rae: Yes. Thanks for raising that. Ingrid I'll take a go at that. So, yes maybe the optimization is a bit of a distraction here, of course what we do is we review the sequence on a regular basis. But you're correct to assume that what we do is as we are doing our infill drilling and we take the stance in terms of different grades available to us. We know we do take opportunities periodically to look at well, we have something in proximity would it make sense to change out elements of the sequence. However, typically we don't like doing that because what would happen if doing it on such a short-term is you create a number of inefficiencies and one of the things that Chelopech is known for and I think it's performance is related to is its focus on what's the plan, what's the delivery against that plan and a bunch of short internal controls and so on. And however, in this case what happened was we had a few sequence changes within Q1, which were not planned, and we took the opportunity to look at what's the right approach in Q2, and it was partly due to we had one stake, which we ended up moving out of the sequence a little bit and it had implications on recovery and grade as these things do, because we have so many different ore types at Chelopech. So perhaps it's a little strong in terms of the terminology, it's the sort of routine activity we did it’s not related to bringing in any high grades that we founded in upgrades that weren't ready part of the plan, and a part of that would also be as I mentioned we do tend to have a slight positive bias on gold grades and we actually have a slight negative bias in copper grade at Chelopech. So that also affected them.
Ingrid Rico: Okay. And so for the rest of the remainder of the year we should just think of sort of steady grades the way we've been seeing it over the last sort of 12 months?
David Rae: I think that would be reasonable to assume, yes.
Ingrid Rico: Okay. And for other Ada Tepe you cover a lot of my questions, but I guess maybe in terms of any maintenance for the remainder of the year. Is there anything that’s planned for that or also we should expect the throughput to be strong for the second half?
David Rae: Yes. It’s very good question. Thank you. So, we did anticipate that when we do our SAG mill reline that there would be an impact on the quarterly production, but as you'll notice between Q1 and Q2, we've managed to mitigate that as we've been working on the process plants and been getting greater online time and instantaneous tonnage capability. So, we do in fact have a reline in Q4. So, we’ll have two relines per year. We did one in Q2. We’ll do another in Q4. I am not anticipating that will have an impact on the production, however, despite that we can mitigate that. We are at the moment just under the constraint that we have, we are allowed to move up to 10% over our permitting level at Ada Tepe. We start a little bit in hand on that, so we can still exceed a little on the production side. However, I think it's probably going to be more down to grace for the rest of the year in terms of variability. And at this point, I think Q2 was an exceptional quarter that was certainly above what we anticipated. It is going to come back more what would be the great, the resource level for the rest of the year. And I think we've reflected that in terms of our optimism, in terms of cash cost, but a little bit lower generation rates on the gold for the rest of the year, but that's what's built into the guidance.
Ingrid Rico: Okay. That's great. That's it for me. Thank you.
David Rae: Thank you, Ingrid.
Operator: There are no further questions. I’d like to turn the call back over to David Rae for the closing remarks.
David Rae: Well, thank you very much. I appreciate everybody joining us this morning. And we're looking forward to keeping everybody updated on our activities moving forward. Once again, thank you very much and enjoy the long weekend. Thank you. Bye-bye.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect. Everyone have a great day.